Operator: Greetings and welcome to the Mytheresa First Quarter of Fiscal Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's call is being recorded and we have allocated one hour for prepared remarks and Q&A. It is now my pleasure to introduce your host, Martin Beer, Mytheresa's Chief Financial Officer. Thank you, sir. You may begin.
Martin Beer: Thank you, operator, and welcome everyone to Mytheresa's investor conference call for the first quarter of fiscal year 2025. With me today is our CEO, Michael Kliger. Before we begin, we'd like to remind you that our discussions today will include forward-looking statements. Any comments we make about expectations are forward-looking statements and are subject to risks and uncertainties, including the risks and uncertainties described in our Annual Report. Many factors could cause actual results to differ materially. We are under no duty to update forward-looking statements. In addition, we will refer to certain financial measures not reported in accordance with IFRS on this call. You can find reconciliations of these non-IFRS financial measures in our earnings press release, which is available on our investor relations website at investors.mytheresa.com. I will now turn the call over to Michael.
Michael Kliger: Thank you, Martin. Also from my side, a very warm welcome to all of you and thank you for joining our call. We will comment today on the results and performance of our first quarter of fiscal year 2025. As you can imagine, we are very excited about the recently announced expected acquisition of YNAP. As explained in our investor call, this acquisition will allow us to create a global digital luxury platform across multiple highly distinguished storefronts. We believe we will be able to generate significant synergies in using a joint backbone, but most importantly, we will have an overall value proposition with the highest relevance for global luxury shoppers and brands. We expect closing of the transaction in the first half of calendar year 2025. As we wait for the transaction to close, it is of course our sole focus to keep the strong momentum in our business and to continue to show that our business model and economic model deliver strong results despite ongoing macro headwinds. We are therefore very pleased with our results in the first quarter of fiscal year 2025. With the strong revenue growth and positive adjusted EBITDA, we continued our very positive business momentum that we have seen since the third quarter of fiscal year 2024. We have solidified our leading position in a clearly consolidating sector and displayed our unique characteristic of profitable growth in the sector. We still see lower demand from aspirational customers and promotional intensity by competitors in the market, but we have also seen market conditions improve in recent months. We strongly believe that we will benefit from this trend over the next quarters, over proportionally. Our strong growth with top customers, our record-high average order value, our improved gross margin and the excellent customer satisfaction scores, all highlight the fundamental health of our business. I wish to highlight today three key messages to you that make us stand out in the first quarter and demonstrate the strengths of the Mytheresa business despite ongoing macro uncertainties. First, our unique focus on big spending, wardrobe building luxury shoppers drove again our profitable business with our top customers and the desire of luxury brands to partner with us. We built a community for true luxury enthusiasts and create desirability through unique physical experiences. Second, the strong relationships and support from our brand partners allowed us to feature once more many exclusive capsule collections and campaigns that drove our global business growth, particularly in the United States in the first quarter of fiscal year '25. Third, our very resilient and consistent business model allowed us to significantly improve many of our key performance indicators in the first quarter of fiscal year '25. Our recently published positive change report for fiscal year '24 also showed our progress along our commitments to being a sustainable and socially responsible corporation. Top customer growth and loyalty, global presence and growth, as well as excellent operational performance continue to set us apart from other players in our sector. Let me now comment in more detail on these three messages. First, let's look how building a global community for luxury enthusiasts is driving our business. The first quarter our GMV with top customers grew by plus 18.8% compared to Q1 of fiscal year 2024. This excellent growth was largely driven by an increase of the average spend per top customer in terms of GMV by plus 16.7% in Q1 fiscal year '25 versus Q1 fiscal year '24. In the United States, our business with our top customers even grew by an outstanding plus 40.9%. This was driven both by an increase in the top customer base of plus 20.6% in the first quarter as well as an increase of the average spend per top customer by plus 16.9% compared to the first quarter of fiscal year 2024. Our clear ambition is to build the strongest relationships with our top customers and we therefore constantly engage with them. In the first quarter, we hosted again various events for our top customers across the globe. Examples included Style Suites in London, Milan, Prague, New York, Singapore and Hong Kong. We also invited top customers to the Dolce & Gabbana beach clubs in St. Tropez and Marbella over the summer. In collaboration with Bucherer, we hosted menswear events in Munich and New York. We also invited our top customers to bespoke fine jewelry events in Munich, Los Angeles and Shanghai. Finally, we partnered with Porsche to host top customers for a Porsche driving experience in Los Angeles. Please see our Investor Presentation for more details on our various top customer events. To fulfill our ambition to build a community for luxury enthusiasts through digital and physical experiences, we bring together our top customers for amazing, truly money can't buy experiences. The first quarter, we invited guests to an intimate dinner with designer Simone Rocha at the illustrious Claridge's in London featuring a mesmerizing culinary installation by Laila Gohar. We hosted a supper club evening with the designer Gabriela Hearst at the iconic club Le Bristol After Dark in Paris to celebrate Paris Fashion Week. We created an unforgettable two-day experience together with Tod's in Milan to celebrate the launch of exclusive styles from the Tod's spring-summer '25 womenswear collection. Over two days, our guests were invited to various unique moments starting with a behind-the-scene tour at the prestigious Teatro alla Scala, then attending the wonderful ballet La Dame aux Camelias followed by a dinner after the performance served actually inside the Scala. The next day our guests participated in a private tour of Leonardo Da Vinci's masterpiece The Last Supper and we concluded with the lunch at the Palazzo Marino hosted by the Mayor of Milan. Another example for a money can't buy experience was a two-day experience in collaboration with the famous bag brand Delvaux in Brussels, including a tour of the museum, a beautiful dinner hosted inside the workshop, a crafts workshop for our customers in the Delvaux atelier and a lunch on the terrace of the Delvaux flagship boutique. In the United States which remains a key driver for our growth. We hosted an intimate cocktail at Kathy Hilton's residence in Bel Air together with designer Rebecca Vallance and Nicky Hilton to celebrate the launch of the Nicky Hilton for Rebecca Vallance Holiday Collection. Guests attending this event included Paris Hilton and Kris Jenner. In addition to providing our top customers memorable experiences, such events also create global brand awareness for Mytheresa through press and global social media amplification. Please see our Investor Presentation for more details on these unique money can't buy experiences. Second, the first quarter saw again many high-impact campaigns and exclusive product launches that drove our global business with high-spending wardrobe-building customers. We launched exclusive womenswear and menswear styles from Loewe and Moncler, only available at Mytheresa, as well as the exclusive Chloe Evening Blue capsule collection for womenswear only available at Mytheresa. We were also exclusive pre-launch partner for the Blake Bag of The Row and for the womenswear fall-winter '24 runway collection of Gucci as well as the womenswear fall-winter '24 collections of Tod's, Etro and Givenchy, providing Mytheresa customers exclusive first access to these new collection pieces. Please see our Investor Presentation for more details on our brand collaborations in the first quarter. Such unique offers drove the interest by wardrobe-building big luxury spenders and thereby our strong top line in the first quarter of fiscal year 2025. We grew our GMV by plus 6.3% compared to Q1 of fiscal year '24, being fully on track with our outlook for the full fiscal year 2025. In terms of net sales, we achieved a strong growth of plus 7.6% compared to Q1 of fiscal year '24. The United States continues to be a significant growth driver for our business. We saw double-digit growth with plus 13.6% in Q1 fiscal '25 and the US accounted for 20% of the GMV of our total business in the first quarter of fiscal year '25. This demonstrates that our highly curated selection of true luxury brands resonates very well with the big-spending US luxury shoppers looking for multi-brand inspiration. In Europe, we also experienced a net sales growth with plus 9.8% in the first quarter compared to the first quarter of the previous year, while results in China and Asia continue to be impacted by ongoing macro headwinds and uncertainties. Third, in the first quarter of fiscal year 2025, we significantly improved our business performance thanks to our very resilient and consistent business model. Martin will talk in a few minutes about the details of our bottom line results for the first quarter, but let me provide you with some key operational highlights. We achieved excellent customer satisfaction measured by our internal net promoter score that reached an outstanding 82.6% in Q1 fiscal year '25, demonstrating the consistent excellence of our customer service proposition. Our LTM average order value increased significantly by plus 9.1% to a new record high of EUR720 in Q1 fiscal year '25, demonstrating the success of our focus on selling high-end luxury products to top customers. Furthermore, our return rate decreased in the first quarter and our cost ratios also mostly improved. All these operational highlights underline the fundamental health of our business. Another important update I wish to mention is that Mytheresa published its third Positive Change Report highlighting the progress toward our defined ESG commitments in fiscal year '24. A notable achievement in this report is the strategic partnership with DHL for the GoGreen Plus initiative, financing the use of Sustainable Aviation Fuel to reduce our CO2 emissions associated with shipments by more than 27,000 tons over five years. Further key highlights include the start of a partnership with EcoVadis to assess risks within our supply chain, achievement of a share of 59% women in leadership positions at Mytheresa, the successful training of more than 600 new-joiners on our DE&I commitments, and the extension of our partnership for reselling pre-loved items with Vestiaire Collective to all our customers in Europe, the UK and the US. Please see our Investor Presentation for more details on the Mytheresa Positive Change Report for fiscal year '24. With all the above, it should come as no surprise that we are very pleased with our performance in the first quarter of fiscal year 2025. We see this quarter as further proof that our business can deliver profitable growth even under ongoing macro uncertainties due to the strength of our model and consistency of our execution. We clearly see ourselves as a winner in the consolidating luxury e-commerce space. We are extremely well-positioned to benefit from the tremendous growth prospects as market conditions continue to improve globally. The expected acquisition of YNAP will of course provide even more opportunities for profitable growth. All this and the results of the first quarter support our strong confidence in our medium-term growth trajectory and profitability targets. And now I hand over to Martin to discuss the financial results in detail.
Martin Beer: Thank you, Michael. I'm also truly excited about our acquisition of YNAP and we will provide a more in-depth view on the performance and our plans for the future after closing. I will therefore focus this call on the financial highlights of our first quarter of fiscal year '25 ended September 30, 2024. The first quarter showed a continuation of improved top and bottom line performance that we experienced in the course of fiscal year '24. Net sales growth was at plus 8% in the quarter and we improved our profitability at adjusted EBITDA level by 200 basis points year-over-year. The main driver of this increase in profitability was 150 basis points higher gross profit margin. In contrast to the previous quarters and despite persisting uncertainties in the overall luxury market, we were able to not only stabilize the gross profit margin slippage but to initiate the recovery. In addition, we successfully continued to rebalance inventory levels with sales volumes with a decrease of inventory by minus 3.6% year-over-year. We have now already reached our target inventory levels in relation to top-line performance. We are fully on course with our performance improvements in our flexible and robust business model and will continue our track record of strong and profitable top-line growth. I will now review the financial results for the first quarter of fiscal year '25 ended September 30, 2024, in more detail and give additional color on certain key developments affecting our performance. Unless otherwise stated, all numbers refer to Euro. In Q1 of fiscal year '25, running from July to September, net sales increased by EUR14.2 million to EUR201.7 million, a plus 7.6% increase year-over-year. On a two-year basis, net sales increased by 15.1% and plus 28% on a three-year basis. GMV increased by plus 6.3% or EUR12.8 million to EUR216.6 million as compared to EUR203.8 million in the prior year quarter. We continue to attract and retain the best customer cohorts in the industry. GMV for all customers increased by plus 13.5% during the first quarter and GMV per top customer increased by plus 16.7%. Our AOV LTM now stands at EUR720, an increase of 9.1% or in absolute terms plus EUR60 per package shipped compared to the prior year period. This increase adds to our track record of continuously expanding our AOV and thus improving our unit economics. It also demonstrates our successful focus on full price selling at the very high end of true luxury. We continue to manifest our leadership position in all regions of the world, especially in our core markets in Europe, the US and Middle East. The US showed again strong revenue growth at plus 13.6% and the number of top customers grew by plus 21%. In the first quarter of fiscal year '25, gross profit increased by 11.5% to EUR88.6 million as compared to EUR79.5 million in Q1 of the preceding fiscal year. The gross margin stood at 43.9%, an increase of 150 basis points as compared to the prior year period. As mentioned before, we successfully stabilized the gross profit margin slippage that we experienced in previous quarters, and in this quarter, we were able to already show improvements. While we still experienced some effects of promotional activities from competitors in the market, we were able to clearly demonstrate our success in not following that route. With our unique curation, increased brand support and focus on full price selling, we continue to achieve high full price sales rates resulting in improved gross profit margins during the quarter. The adjusted shipping and payment cost ratio decreased by 40 basis points during the first quarter, now standing at 13.5% as compared to 13.9% in Q1 of fiscal year '24. This improvement is a result of our unique customer focus with improved AOVs, decreasing return rates and our continuous efforts on implementing efficiencies in our global shipping, customs and payment setup. We continue to be mindful of the overall softer market environment and focus our marketing efforts on high potentials. During Q1 of fiscal year '25, marketing expenses only increased modestly by EUR1.3 million to now EUR25 million. The marketing cost ratio remains stable at 11.5% of GMV as compared to 11.6% in the prior year period. The adjusted selling, general and administrative SG&A costs only increased modestly by EUR0.8 million year-over-year. With that, our adjusted SG&A cost ratio decreased by 50 basis points from 14.5% in the prior year quarter to now 14.0%. We have fully closed down our legacy distribution center and moved all operations successfully to our new distribution center in Leipzig. Mostly due to our acquisition of YNAP, we incurred an adjusted EUR21.3 million of transaction-related certain legal and other expenses in the quarter. In the first quarter of fiscal year '25, adjusted EBITDA increased by EUR4.1 million to EUR2.9 million. The adjusted EBITDA margin increased by 200 basis points to 1.4% during the quarter driven by the increase in the gross profit margin and improvements in other cost lines. The improved performance is in line with our expectations and the guidance for the full fiscal year. Depreciation and amortization were at EUR7.1 million, EUR3.7 million above previous year due to a EUR3.1 million one-time write-off of our remaining warehouse installation in our legacy distribution center in Heimstetten which we closed end of August. Profit improvements in Q1 were also visible at adjusted operating and net income level. Adjusted operating income increased by EUR3.5 million. Adjusted net income increased by EUR8.6 million. Adjusted net income in the first quarter was at a positive EUR5.4 million or 2.7% of net sales increasing by 440 basis points from minus 1.7% in Q1 of fiscal year '24. Let's move to the cash flow statement. For the three months ended September 30, '24, our operating cash flow used up EUR26.7 million following a typical seasonal pattern. We have continued to successfully manage our inventory levels and adjusted buying accordingly. Our inventories decreased by minus 3.6% year-over-year and are even slightly below inventory levels end of June '24, despite the seasonal inventory buildup. With that, our KPI days inventory outstanding stands at 253 days at the end of September, already reaching our target DIO level of around 260 days. Our cash flow from investing used up only EUR1.3 million or 0.6% of GMV as we have now completed the remaining payments of our new Leipzig warehouse. To stay with our CapEx cash flow on average below 1% of GMV is another highlight of the Mytheresa business model. For the three months ended September 30, we finished the quarter with EUR9 million cash at hand. With all the above, it comes as no surprise that we are very confident in the success of our unique positioning and business model and we will continue our clear focus on strong and profitable growth. We also confirm our guidance for the full fiscal year 2025 with GMV and net sales growth between 7% and 13% and an adjusted EBITDA margin between 3% and 5%. With expected closing of the acquisition of YNAP in H1 of calendar 2025, we're very excited of our medium-term and long-term outlook as we aim to fortify our clear market leadership position in global multi-brand luxury set for strong profitable growth and thereby creating significant value for our shareholders and all stakeholders in Mytheresa and YNAP. And with that, I will now turn the call back over to Michael for his concluding remarks.
Michael Kliger: Thank you, Martin. We are very pleased with our first quarter of fiscal year 2025 earnings results. We see ourselves well on track to achieve our fiscal year 2025 guided targets. The first weeks of the second quarter support our confidence. We will continue to benefit from the ongoing consumer shift to online and luxury spend, the increasing importance of the high-spending multi-brand inspiration-seeking customer segment and the desire by brand partners to work with only the best digital platforms in the market. We are very confident that Mytheresa offers investors a great opportunity to participate in these growth trends. And with that, I ask the operator to open the line for your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question today comes from the line of Oliver Chen from TD Cowen. Your line is open.
Katy Hallberg: Hi, there. This is Katy Hallberg on for Oliver Chen. Thank you so much for taking our question and congratulations on the solid first quarter performance. I'd like to dig in a little bit around the success with lower return rates. Can you just speak to the architecture and how much of this is a component of new customers to the platform versus success with the product? And then I have a quick follow-up afterwards. Thank you.
Michael Kliger: Thank you. We have seen as a sector for quite a while increasing return rates. And I think there are many hypotheses around it. But it's probably also an hypothesis about customers being very picky in what they really buy in the end and keep. And so we see two drivers for the first sign of a slightly decreasing return rate in a while. One is that there is a slowly but increasing appetite for customers to keep, to buy, but only to try. And the second part I think you hit the nail is, of course, the success with existing customers, the success with heavy spending, often recurring customers is also helping return rates because these customers tend to know their sizes of different brands. They know exactly which shoe size they need from Louboutin or Jimmy Choo or Jean Vito. So focusing on these high repeat customers also helps on return rates.
Katy Hallberg: Excellent. Thank you. And then I would just like to speak a little bit more to the success in the US. It really looks like there's a lot of progress there. Could you provide some color around how the quarter trended and if there was any potential noise quarter to date related to just the election news or greater macro uncertainty and how you're thinking about the US growth for the rest of the year? Thank you.
Michael Kliger: You're absolutely right. The United States has been a great success for us as a company over the last two years. Our team here in the United States is doing an amazing job. One of the big drivers is of course ongoingly reaching out to clients, making them aware of our offer. You will recall we had over the whole summer for, I think, eight weeks, a pop-up in the Hamptons, generating a completely new cohort of customers. But we continue to have events and it's visible in our Investor Presentation. Menswear event in New York with Buera fine jewelry event in LA. We did an activation with Porsche in LA with Rebecca Vallance and Nicky Hilton. And so the ongoing outreach, the ongoing engagement with top customers was also driving this because as we always say, top customers that bring their friends, top customers that invite other people, bring us high potential new customers. If we look at the US right now, we actually expect a very strong Q2. We believe the consumer sentiment in the US has further improved. We had an election which regardless of the outcome was decisive. So we did not have a hanging result. No one knows who really won. It was clear who won and I think that is also removing uncertainty in the market. So we will, we expect, at the moment continued growth and continued success in the US for Mytheresa.
Katy Hallberg: Thanks.
Operator: [Operator Instructions] Your next question comes from the line of Matthew Boss from JPMorgan. Your line is open.
Matthew Boss: Great, thanks. So Michael how would you characterize overall health of your core luxury customer today? Any differences across regions that you're observing in overall spending and maybe by category any notable shifts in category performance that you're seeing so far in the second quarter? I know you mentioned a positive progression in the US.
Michael Kliger: Thank you, Matt. I think you're right. You have to cut it in different -- by different dimensions. So let me start with the geography. As I said, very happy with the US plus 14% double-digit growth continues. We see the US and the US luxury consumer in a good shape. We also very happy with Europe. Europe, including Germany, grew 9% in the last quarter. This is an excellent outcome. We had for some time challenges in Europe. So we also believe here uncertainties have been removed. Many of the European markets elections have happened. In some countries, there's actually good prospects for economic expansion. The one geography region that really still lags is Asia and particularly influenced by China. So that's clear. The uncertainties and challenges are there. So there we probably still have to wait for continued improvements, for continued recovery. But Germany, sorry, Europe and US, which account for 70% of our business are in good shape I would say. In terms of the customer groups, our top customers are in excellent shape. The expansion of our business with top customers overall was driven by almost 17% more spend per customer in that group. So it's an amazing increase of the average spend per top customer. And in the US, we not only had this increase of roughly the same 17%, we also added almost 19% more top customers. So this specific segment that has always been our focus is in very good shape. I think the question about the aspirational customer segment, we do see improvements. We believe we will see a better Christmas business. And Q2 is of course, in our logic, Q2 is of course quite important for the aspirational customer. We didn't see any sort of business of them for last year. Everyone sort of skipped their luxury item purchase for next year. We believe there will be some improvements, not a full recovery, but some improvements as consumer sentiment picks up. And that, of course, will also drive a better business in accessories and bags. The main categories driven by, of course, our top customer focus continues to be ready to wear continues to be the brands that you can loosely put under quiet luxury continues to be fine jewelry and continues to be everything connected to vacation. We will -- we, at the moment, launch beautiful evening and festive ready-to-wear. But beginning of December, we will already launch our campaigns for a cruise resort because early December our clients will start to think where to go in Jan-February, be it the Caribbean, be it the Mediterranean. So that business continues to boom as luxury experiences actually also continue to show good growth.
Matthew Boss: Great. And then maybe a follow-up for Martin. Could you just elaborate on the promotional backdrop channel inventory levels today across luxury as we enter holiday and what it means for gross margin in the second quarter and in the back half of the year?
Martin Beer: Yeah. Matt, happy to do so. Exactly. I mean, we have talked about that and saw that in the preceding quarters, that due to heavy promotions, there is continued access inventory in the market and that led to a decreasing gross profit margin and that eased with spring-summer '24 and even more with fall-winter '24 season. Less inventory in the market, less promotional pressure overall. And we continued to stay very focused to stay true to our focus on full price selling and managing our inventory levels accordingly. So we always followed a balanced approach. And this clearly shows in our numbers. On the one side, we stabilized the gross profit margin slippage and reversed that. So we showed a very strong increase in the gross profit margin of 150 basis points already in this quarter. And we expect a stabilization and improvement at the gross profit margin to continue for the full fiscal year '25. And that is including the rebalancing of the inventory and to playing a very subtle promotional strategy, but more really focusing on our top customers and the quality also on the high potential new customers that we're getting in. And that leads to a higher full price share, better sell-through rates, higher sale margin and therefore the overall improvement in the gross profit. And on the same time, we were able to rebalance inventory levels in line with our top-line expectations. So I called out that inventory levels are now minus 3.6% compared to year-over-year despite the growth and also are below slightly below the June inventory figures despite the seasonal inventory buildup. So very stable, healthy development exactly as we expected and as we planned for. And this enabled the DIO, days inventory outstanding, to be now at 253 days for, I mean, our target level is always to be around 260. Obviously, there will be fluctuations in the coming quarters, but we expect the overall fiscal year also to end up around the 260 days inventory. So stabilization on the inventory levels, we reached the target, managed quite successful inventory levels and achieved that with a balancing strategy on the brand side and customer side and fully reflected in the turnaround of the gross profit margin slippage this quarter, 150 basis points and going, looking ahead, also a stabilization of the gross profit margin and slight improvement. So we do see still promotional activities as always from struggling competitors or what we see in the market. But the effect is becoming less and less on the overall customers and especially our customers as we target a different customer and as the inventory situation clearly improved in the all of our industry and therefore being less -- so the promotional activities of competitors being less relevant for us.
Operator: Your next question comes from the line of Ashley Helgans from Jefferies. Your line is open.
Blake Anderson: Hi. It's Blake on for Ashley. Thanks for taking our question. So I wanted to also ask on gross margin. It's nice to see the positive inflection there. But more specifically just on your guidance philosophy, I believe you had said previously you expect Q1 and Q3 to have a weaker bottom line. I didn't know if you could comment on that. Do you still expect that to be the case? And then if the Q1 gross margin continued that expansion, I feel like you -- I think you would be at the high end of your EBITDA margin range. So can you comment if you are maybe investing incrementally in expenses ahead of the deal or is any reason or maybe just being conservative, is there any reason why that EBITDA margin couldn't be higher for the year?
Martin Beer: Yeah, happy to take that question. I mean, the overall, I mean, this is the first quarter. So for the full fiscal year '25, which ends in June, we obviously will continue to manage through. But we will have to see how the top-line gross profit margin, the cost lines, all develop. Right now we are on good track with Q1 exactly as you pointed out and we are fully in line with our expectations. No, so no one-offs, no major shift in strategy, especially not through for an upcoming YNAP acquisition. So we continue, we continue our strategy of go-to-market and as we're not guiding on the gross profit margin and the current situation, the gross profit margin improvement that we expect for the overall fiscal year '25 stays completely in line with our expectations and guidance and that will lead to an improvement of the EBITDA margin and secure the EBITDA margin that we guided. We guided for 3% to 5% adjusted EBITDA margin for the full fiscal year and confirmed the guidance and really stick to that expectations. Q1 versus Q2 and Q3 versus Q4. I mean, the Q1 and Q3 quarters are always weaker quarter on overall adjusted EBITDA margin. That's very typical. That has been the case for the last five years. That's what I called out in the last earnings call to expect for Q1, an overall lower adjusted EBITDA margin in Q1 than compared to, for example, Q2 or Q4. We achieved a adjusted EBITDA margin in this quarter of 1.4%. That is obviously outside of the 3% to 5% guidance, but it's typical, very typical in line with seasonal performance. And it is very nice to see that the adjusted EBITDA margin clearly improved. It improved 200 basis points year-over-year. So very good, clear, visible improvement. And again all line with our expectations for the full fiscal year of the 3% to 5% adjusted EBITDA margin. And you're completely right. Part of that will be driven by an improvement in gross profit margin. But we will continue to work on all other cost lines to enable that guidance and secure our profitable growth.
Blake Anderson: That's very helpful. Thanks so much. And then last one, if I could just ask, I don't know how much you could talk about it, but ahead of the deal, proposed deal, I think the tech integration was going to be an important part of it. Is there any work you can start doing now or what maybe gives you confidence that you'll be able to have a smooth integration there? Thanks so much.
Michael Kliger: Sure. I mean, until the deal is approved by the authorities, we cannot do any heavy lifting. But of course, we conducted a proper due diligence. We analyzed the tech stack that is, at the moment, in place at YNAP supporting all the different businesses. And we, of course, find what our tech stack needs to still develop to fulfill all the needs that we identified. And that part we can start, that part we can work on to prepare on our side supporting the businesses. So in that sense, work is ongoing already. But the actual engagement, the actual working together with the other side, we can only start once the deal has been approved.
Operator: And we have reached the end of our question-and-answer session. This concludes today's conference call. Thank you for your participation. You may now disconnect.